Yoshihiro Hidaka: Hello, everyone. I'm Hidaka. Thank you for joining the online business results meeting of Yamaha Motor Company Limited today.  First, I'd like to express my sincere gratitude to all stakeholders who support our initiatives in this difficult environment. And I express my deep apologies for causing inconveniences to customers due to production delays and inventory shortages.  Now I present the outline of the business results for the first 9 months. Please turn to Page 4. I'll explain the key points in the first 9 months. As for the business performance, highest ever sales and operating income for the first 9 months were recorded, thanks to the favorable business environment.  As for the external environment, trends in the first half year continued. At the positive side, restarting of economic activities after COVID-19 continued. And on the negative side, global supply chain disruptions and soaring prices for raw materials continued. We suffered adverse impacts on parts procurement and production operations due to resurgence of the COVID-19 pandemic and lockdown in ASEAN countries.  As for the state of our businesses, steady demand in all businesses were sustained, including demand for outdoor recreation and personal mobility in post-COVID era. Demand for semiconductor in the Robotics business and increased investment for labor savings. And profitability improved, thanks to strengthening, our break-even point management style.  As for future outlook, we expect the continued strong demand in all businesses and full recovery in ASEAN markets. On the other hand, we remain watchful, the impacts on demand by Chinese economic slowdown as risks.  As for the issues of procurement, production and logistics due to the shortages of parts, labor for production, containers and shipping space, which already materialized, we will strive to minimize the opportunity losses in sales with quick and flexible responses.  Please turn to Page 5. This slide shows the unit sales and inventories by major product as of the end of September in comparison with those in 2020 and 2019 in percentage.  As for unit sales, outboard unit sales, full supply delay has been continuing since the previous year, progressed with production expansion. Logistics issues continue mainly in the U.S., but supply volume is on the recovery track.  On the other hand, in the third quarter, resurgence of COVID-19, ASEAN countries, led to the emerging shortages of components, including semiconductors, especially factory operation was restricted in Vietnam and Philippines, and the period of unstable operation continued.  The level of product inventory has not recovered to the normalized level due to the supply issues in many countries, but we will promote supply, addressing procurement and production issues.  Please turn to Page 6. Let me explain the overall management figures. This table shows from the left column, the results of Q3 total benchmarking years of 2019, 2020 and 2021. And on the right, the comparison with 2019 and 2020 are listed.  As for 2021, net sales were 128% of the previous year, ¥1,362.6 billion. Operating income was 274% of the previous year, ¥154.6 billion. And operating income ratio was plus 6.0 point year-on-year at 11.3%.  Ordinary income was 269% of the previous year, ¥160.6 billion. Net income attributable to owners of parent was ¥137 billion, and this includes the gain on the sales of Yamaha Corporation shares, ¥12.8 billion, which was implemented in August.  Despite the resurgence of COVID-19 infections in ASEAN markets, sales increased due to the overall continued favorable business environment. Profits rose significantly due to higher sales, improved model mix and reduced promotion expenses and production costs, thereby maintaining high profitability structure. Actual exchange rates are as shown at the bottom of the table.  Please turn to Page 7. Factors for change between Q3 total operating income in FY 2020 and '21 by segment are shown here.  Change by business, growth strategy expenses and exchange effects are described. Profits rose in all businesses, with Marine Products and Robotics businesses, are posting significant gain in the third quarter from July to September.  On the other hand, as for the emerging markets, which are on the recovery track from COVID-19, we suffered the negative impacts by lockdown and the decline factory utilizations due to resurgence of COVID-19. India, in particular, was affected by parts shortage. As a result, motorcycle business in emerging markets in Q3 total marked the positive impact of ¥33.6 billion, as shown in the chart. But in the period from July to September alone, it was negative ¥3.2 billion. Exchange effects were positive ¥4.4 billion due to the depreciation of yen.  Please turn to Page 8. Operating income change, which was shown by segment on the previous page is divided by factor here. As you see, sales increase made a substantial contributions of ¥118.7 billion, and its breakdown is scale increased plus ¥75.7 billion; model mix improvement, mainly in motorcycle emerging market, plus ¥34 billion; rebate reductions, ¥6.5 billion; temporary decrease in allowance for doubtful accounts, plus ¥6.4 billion; and the increase in logistics cost, minus ¥3.9 billion. And cost reductions made a positive impact of ¥6 billion, but raw material cost surge made a significant impact of minus ¥15.6 billion.  Growth strategy expense decrease has made a positive impact of ¥2.2 billion, but increasing SG&A expenses, including variable cost increase with volume growth made a negative impact of minus ¥17.5 billion. Including the exchange effects of plus ¥4.4 billion, operating income resulted in ¥154.6 billion. Negative impacts by raw material cost surge and increased logistic costs were offset by the mix improvement and cost reductions among others.  Please turn to Page 9. This slide shows the unit sales forecast by major product and region. The results up to the third quarter and the forecast for the fourth quarter in their comparisons with 2020 and 2019 are shown here.  With low inventory, Indonesia and Thailand have been making robust recoveries. However, due to the impact of semiconductor shortage and the production unit falls due to labor shortage in many markets, the supplies will be in further shortage in the fourth quarter. We'll strive to meet the market demand as much as possible by taking measures in parts procurement and labor shortage issues.  Please turn to Page 10. Based on the unit sales forecast shown before, we revised the business forecast. Net sales are revised to 122% of the previous year, ¥1,800 billion due to parts shortages, including semiconductors. Operating income is revised to 211% of the previous year, ¥172 billion due to further cost reductions. Operating income ratio is revised to the improvement of 4.0 point to 9.6%. Ordinary income is revised to 203% of the previous year to ¥178 billion. Net income is revised to 273% of the previous year to ¥145 billion, marking the record high net sales and operating income. Full year exchange rate assumptions are kept unchanged.  Please turn to Page 11. Let me explain the shareholder returns. Acquisition of treasury stock was approved by the Board of Directors on November 8, 2021, for the improvement of shareholder returns and capital efficiency. As a result, total return ratio is to be 31.7% with a full year dividend of ¥100. Full year dividend of ¥100 per share remains unchanged from the previous announcement. Earnings per share will be ¥416. A chart on the right shows the cash flow excluding sales finance receivable, reflecting treasury stock acquisition.
Takeo Noda: I am Noda. I'll explain details by business segment. Please turn to Page 13. Let me explain net sales and operating income by business. Chart carries 3-year results of 2019, 2020 and 2021. As for the results in 2021, in Land Mobility, sales were ¥882 billion. Operating income was ¥60.4 billion.  Marine Products sales were ¥302.6 billion. Operating income was ¥64.5 billion. Robotics sales were ¥88.6 billion. Operating income was ¥13.8 billion.  Financial Services sales were ¥35.9 billion. Operating income was ¥15 billion. And other product sales were ¥53.6 billion and operating income was ¥0.9 billion. As you see here, in all businesses, sales and profit increased year-on-year. And compared to 2019, sales and profit also increased. I'll explain the business condition by segment from the next page and onward. Please turn to Page 14. Motorcycle business in Land Mobility business. Motorcycle business in developed market is shown on the left. Unit sales increased in all regions and net sales increased from ¥172.3 billion to ¥200.8 billion. Operating income ratio turned from minus 5.3% to plus 1.6%, securing profitability due to improvement in manufacturing utilization and reduction in rebate and expenses for sales activity.  Motorcycle business in emerging market is shown on the right. Net sales increased from ¥425.7 billion to ¥564 billion. Operating income ratio improved substantially from 3.6% to 8.0% due to the promotion of premium segment strategy. Due to resurgence of infection and shortages in parts, including semiconductor, ASEAN countries and India have not yet recovered to the level of 2019. The sales in Latin America and China recovered beyond the level of 2019.  Please turn to Page 15. Left part shows RV. Following the second quarter, strong demand in recreational category continued, and net sales increased from ¥53.4 billion to ¥79.3 billion. Operating income ratio improved substantially from minus 3.3% to plus 7.4% due to sales unit growth and reduction in rebate and sales activity expenses. Due to the parts supply delays and infection cases of workers caused by resurgence of infection in the U.S. in August, supply issues still continue. Market inventory level is declining. And we will minimize opportunity losses by effort in production and procurement and by implementing effective allocations.  SPV is shown on the right. Demand for electric power-assisted vehicle and e-Bike continue to expand at high level, as the personal mobility and casual outdoor leisures. As a result, mainly due to strong sales in E-kit for Europe, net sales increased from ¥31 billion to ¥37.9 billion and operating income ratio improved on 14.8% to 16.6%. We continue to capture the sales opportunity in the growing market and we expand the business. Please turn to Page 16. Left part shows marine business. Demand of large outboard motors and our sales have been strong. In the sales of water vehicle, which have faced delayed production and supply due to COVID waves in the U.S. and parts procurement issues, improved in the third quarter. As a result, net sales improved from ¥247.4 billion to ¥302.6 billion, and operating income ratio improved from 16.4% to 21.3%, maintaining high profitability.  Right part shows Robotics business. In addition to the sales growth in China, sales in Europe, the U.S. and Japan have been recovering. Sales in Yamaha Robotics Holdings also grew, and as a result, net sales increased from ¥54.7 billion to ¥88.6 billion. Operating income ratio improved drastically from 1.8% to 15.6%. We continue to grow this business through a synergy effect with Yamaha Robotics Holdings. Please turn to Page 17 for Financial Services business. Left chart shows receivable balance and its regional breakdown, and right chart shows net sales and operating income ratio.  As for the receivable balance, as of the end of September 2021, it increased mainly due to steady retail financing in North America. In other areas, receivable balance has been also growing steadily and the overall balance increased to ¥364 billion. Net sales in 2021 increased to ¥35.9 billion. On the profit side, it was substantially affected by the reversals of allowance for doubtful accounts and operating income ratio increased to 41.7%.  This concludes my presentation. Thank you for your attention.
End of Q&A: